Operator: Welcome to Definitive Healthcare's Q3 2025 Earnings Call. [Operator Instructions] I would now like to turn the call to your host. You may begin.
Jonathan Paris: Good afternoon. Thank you for joining us today to review Definitive Healthcare's financial results. Joining me on the call today are Kevin Coop, Chief Executive Officer; and Casey Heller, CFO. During this call, we will make forward-looking statements, including, but not limited to, statements related to our market and future performance and growth opportunities, the benefits of our differentiated data and health care commercial intelligence solutions, our competitive position, customer behaviors and use of our solutions, customer growth, renewals and retention, our financial guidance, our planned investments and operational strategy, generating value for our customers and shareholders and the anticipated impacts of global macroeconomic conditions on our business, results and customers on the health care industry generally. Any forward-looking statements are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve a number of risks and uncertainties, including those discussed in the Risk Factors sections and elsewhere in our filings with the SEC. Actual results may differ materially from any forward-looking statements. The company undertakes no obligation to revise or update any forward-looking statements to reflect events that may arise after this conference call, except as required by law. For more information, please refer to the cautionary statement included in the earnings release that we just posted to our Investor Relations portion of our website. We will discuss non-GAAP financial measures on this conference call. Please refer to the tables in our earnings release and investor presentation on the Investor Relations portion of our website for a reconciliation of these measures to their most directly comparable GAAP financial measure. With that, I'd like to turn the call over to Kevin.
Kevin Coop: Thank you, Jonathan, and thanks to all of you for joining us this afternoon to review Definitive Healthcare's third quarter 2025 financial results. On today's call, I'll provide highlights from our third quarter performance and an update on our progress against our key strategic priorities for the year. Let me begin by reviewing our financial results for the third quarter, which were at or above the high end of our guidance ranges on both the top and bottom line. Total revenue was $60 million, down 4% year-over-year. This was driven by another quarter of modest year-over-year improvement in renewal rates. Adjusted EBITDA was $18.9 million, representing a margin of 32%, which was $2 million above the high end of our guidance. This reflects continued operational improvements with our focus on maintaining solid expense discipline. There were also some in-quarter benefits that Casey will review in her detailed remarks shortly. We continue to generate solid cash flow, delivering approximately $51 million in unlevered free cash flow for the trailing 12 months. From an operational perspective, Q3 represents another quarter of steady progress. I am pleased to report that we are driving incremental improvement across each of our key strategic pillars and I am encouraged by improvements we are seeing in the data across all of these focus areas. Our new logo production continues to respond the fastest to this attention. Total customer count in Q3 held steady at approximately 2,400. More importantly, our enterprise customer count grew by 10 since last quarter to 520 enterprise customers. This is the highest level we've achieved since Q3 of last year. We believe the improvement in new logos is benefiting from our increased focus on the quality and depth of our differentiated data as well as the intensity we brought to our go-to-market strategy targeting end markets with use cases showing the greatest propensity to invest. Retention rates also had another quarter of year-over-year improvement. While it remains too early to call this trend durable and we still need to get through our large renewal cohort in December and January, we are pleased to see this metric moving in the right direction. This is an encouraging early sign our customers are responding to this attention and we will continue our efforts that will drive continued improvement going forward. Turning to the operational update. I'd now like to provide an update on our 4 strategic pillars, which continue to guide our operational focus and investment priorities. As you'll recall, these pillars are differentiated data, data management and seamless integrations, customer success and digital partnerships and innovation. Starting with differentiated data, which is the foundation of our value proposition. We continue to see validation of our data quality advantage in competitive situations. We are making good progress expanding and deepening our data sets with new sources, including bringing on a new claims data source in Q3 that addresses the data disruption in that market segment over the past year. But we are not satisfied with just returning to previous levels, so we are on track to add another new data source later this quarter that will return DH to above historical data levels. Again, strengthening our data assets are foundational to our business and will be a continued area of investment and focus, including how we expand and enhance our core reference and affiliation data assets. Some wins in the quarter that were driven by our differentiated data include a large multinational biopharma chose Definitive Healthcare to support their Medical Affairs team. Historically, their research to identify key opinion leaders in support of multiple product lines was performed manually. They recognized the value leveraging our solutions and data sets would enable them to more quickly and efficiently identify the right key opinion leaders with which to partner. This is a solid example of how our data solves tangible business challenges and builds a strong position for upselling and cross-selling as we support a future customer need. In another example, a medical device company chose Definitive because their current data provider was lacking critical insights on affiliation hierarchies within integrated delivery networks, which are critical to the effective identification of the correct buying decision makers. Our ability to master complex hospital affiliation data, claims data, contact info and payer mix were key to securing this win. Core to this win was Definitive's ability to leverage and master both our differentiated data with that of third-party data so that the customer could generate highly accurate insights in support of their medical device marketing needs. Turning to our second pillar, that of seamless integrations. We continue to focus on making our data sets, proprietary software and analytical capabilities available to customers in whatever way is most effective and efficient for their business needs. By meeting our customers' needs in the most efficient and effective manner, we enable our customers to more easily leverage our differentiated data through the systems of record and systems of insight of their choice. At the same time, we are making it easier for our commercial teams to win new customers. The easier and simpler we make it to embed Definitive into their workflows and processes, the more this will ultimately improve retention. We know that those customers that have integrated our data directly into their systems renew at significantly higher rates. I would like to add a specific highlight example where we are benefiting from this strategy. We recently signed a 6-figure expansion with a long-time customer who has become a $1 million-plus logo in the diversified market. This customer has steadily expanded their use of Definitive based on our consistent ability to improve the effectiveness of their go-to-market efforts across several of their business units. Our API integration feeds Definitive data directly into their sales force deployment and this tight integration enables their sales teams to efficiently create hierarchies and effectively manage customer contacts. This tight integration has made DH essential to their corporate strategy to leverage data, intelligence and automation to accelerate their revenue growth. Turning to our third pillar, customer success. We continue to receive positive feedback on the steps we've taken in recent quarters to develop a consistent, repeatable and proactive customer engagement process. Our goal is to ensure customers are easily able to generate value from their investments in our solutions as rapidly as possible, and this required us to revisit the entire process starting from the point we initially engage with a prospective customer, how we ensure maximum value is provided through the sales process, and finally, how we onboard and service their solution. It is critical that we ensure the customer receives great experience at integration, and ultimately, we maintain this positive relationship throughout the entire customer journey. This is an iterative process, and we will continue to refine and improve our approach going forward as exceptional customer experience requires continuous focus. As mentioned earlier, we are seeing improvement in retention rates, but we have more objectives to meet before reaching the retention rates we are confident are achievable that will enable us to return to generation of consistent top line growth. The initiatives highlighted earlier all support and contribute to our customer success goals and include a cross-functional effort that spans all functional areas, including sales, support, product and the relentless pursuit of continuous improvement in our core data assets. Looking at our last pillar, innovation and our focus on digital engagement. We are making substantive progress in multiple areas. For example, as part of our efforts to support customers' ad tech efforts, we recently launched our first syndicated always-on go-to-market partnership with LiveRamp, where our data will be available in the LiveRamp marketplace. This will enable marketers to self-serve using prebuilt audience segments or request custom health care audiences from us in support of customers activating verified HCP and consumer data across digital channels in a privacy-safe manner. We also secured another relationship with a significant new strategic partner that is slated to go live at the end of the quarter. While it takes time for these partnerships to begin generating revenue, we are pleased with the progress we are making in building out a broad ecosystem of partners and the validation that their decision to partner with us, Definitive, reinforces in the confidence we have in our approach. We are also seeing good momentum in expanding our agency presence. In Q3, we signed up another 8 agencies. As discussed last quarter, partnering with agencies to ensure we have the opportunity for DH data to power marketing campaigns they run on behalf of our clients is an important part of our digital strategy. Leveraging the most accurate data drives better business performance for customers and makes Definitive an increasingly strategic vendor. So getting our data available to those agencies that support digital engagement is critical. Agency support is only one channel, with another priority focusing on direct sales support. Our commercial teams work directly with customers to support activation campaigns and see some very encouraging results. For example, a large teaching hospital in New England recently expanded from a 5-figure test to a mid-6-figure activation campaign commitment. We believe this is a powerful example of the increased value Definitive can deliver when we give our customers the ability to take our data and close the loop to create augmented, targeted, effective and profitable customer outreach programs. We believe this is a significant opportunity and remains a core area of investment as DH demonstrates we can augment and activate their digital campaigns in a highly effective and seamless manner. Let me wrap up by saying that I am proud of the Definitive team for all the work they are doing to strengthen the value of our data and the solutions they deliver and improve the way we engage with our customers in all phases of our relationship. And we will continue to ensure we maintain vigilance on capital allocation and operational efficiency. As we approach the end of 2025, we are confident that the investments and the changes we are making in the business will position us to deliver improved top line and bottom line performance over time and create value for our shareholders. Now, I would like to turn the call over to Casey to walk you through the numbers. With that, Casey?
Casey Heller: Thank you, Kevin. In all my remarks, I will be discussing our results on a non-GAAP basis, unless otherwise noted. Before turning to the specifics, I'd like to step back and provide some context on our quarter. We continue to operate in a dynamic macro environment and our ability to stay disciplined and make progress against our 4 strategic pillars remain central to our success. This alignment and prudent approach are reflected in our Q3 performance, where we again delivered results at or above the high end of guidance on both the top and bottom line. In the third quarter, we delivered revenue of $60 million, down 4% year-over-year, adjusted EBITDA of $18.9 million, reflecting a 32% margin, and adjusted net income was $9.7 million, resulting in $0.07 of non-GAAP earnings per share in the period, all of which were at or above the high end of our guidance for the quarter. We also delivered $17.9 million of unlevered free cash flow in the quarter and nearly $51 million on a trailing 12-month basis. Turning to our results in more detail. Revenue of $60 million was at the high end of our guidance range and represents a 4% decline year-over-year. Q3 revenue shows a sequential improvement in growth trajectory on total and subscription revenues and is indicative of the progress we are making. Subscription revenues of $58.2 million declined 4% year-over-year and reflects stabilization in absolute dollars quarter-over-quarter, along with a 2-point trajectory improvement over the subscription growth rate in the prior quarter. And we again are encouraged by the improvement we're seeing on renewal rates. While Q3 is a smaller renewal period in terms of volume of renewals, our renewal rates in Q3 were largely consistent with Q2 and reflects solid improvement year-over-year. Professional services revenue in the quarter showed modest growth and was largely in line with our expectations. Adjusted gross profit in the third quarter was $49.4 million, which was down 4% from Q3 2024, reflecting the revenue decline. As a percentage of revenue, the adjusted gross profit margin of 82% was roughly flat from Q3 '24. Gross margin in the quarter benefited from our ongoing efforts to improve the efficiency of our cost of goods sold. We experienced approximately $2.5 million in cost savings in the third quarter. The first is an approximate $1.5 million onetime benefit due to a data contract renegotiation. The second is a net cost reduction of approximately $1 million due to replacing an existing data source that was significantly impacted by the disruption in the claims market with another higher volume data source. This represents run rate savings, a portion of which we will be reinvesting starting in the fourth quarter when we bring another new claims data source online and will add significant value to our customers. Adjusted EBITDA was $18.9 million and reflects a 32% margin, well above the high end of our guidance for the third quarter. As expected, this is down year-over-year, reflecting the flow-through from lower revenue. But we're maintaining disciplined expense management and continuing to prioritize key strategic investments to position us for an eventual return to growth. Turning to cash flow. Our business continues to generate strong free cash flow due to our high-margin model, upfront billing and low CapEx requirements. Operating cash flows were $59.2 million on a trailing 12-month basis, up 8% from the comparable period a year ago as we benefited from strong collections and a higher deferred revenue related to data partnership entered into at the end of Q4. On a trailing 12-month basis, we generated nearly $51 million of unlevered free cash flow. Also on a trailing 12-month basis, our conversion rate of adjusted EBITDA to unlevered free cash flow was 73%, which is down about 30 points year-over-year. This decline reflects higher-than-normal CapEx related to onetime investments largely incurred in Q4 of 2024 and Q1 of 2025. Excluding onetime CapEx investments, the conversion rate is above 95% over the last 12 months. This cash generation provides flexibility to continue investing in growth while returning capital to shareholders as evidenced by our repurchase of approximately 2 million shares in the quarter for a total of about $9 million with about $49 million remaining under our authorization. At the end of Q3, deferred revenue of $92 million was up 7% year-over-year and total remaining performance obligations were up 1% year-over-year. Current remaining performance obligations of $165 million were up about 1% year-over-year as reported as well. As mentioned last quarter, both our revenue results and current remaining performance obligations include the benefit from our data partnership signed late last year. We will anniversary the initial contributions of the multiyear agreement on at the end of Q4. Q3's cRPO growth rate declined mid-single digits, excluding the data partnership contributions. Our performance in the third quarter reflects continued progress against our key initiatives and delivered another solid quarter while we prudently manage the business. As we look ahead, we continue to be impacted by pressures on renewals and remain cautious on the macro environment. For the fourth quarter, we expect to deliver $59 million to $60 million in revenue, a decrease of 4% to 5% compared to the fourth quarter of 2024. From a non-GAAP profitability perspective, for the fourth quarter, we expect to deliver adjusted operating income of $13.5 million to $14.5 million, adjusted EBITDA of $16 million to $17 million, reflecting a 27% to 29% adjusted EBITDA margin. At the high end of the guide, adjusted EBITDA margins modestly expand year-over-year in the quarter. In terms of dollars, Q4's adjusted EBITDA is pretty consistent with Q3, adjusting for the onetime credits and factoring in planned investments. Adjusted net income of $8 million to $9 million or approximately $0.05 to $0.06 per diluted share on 145.8 million weighted average shares. Given we exceeded our expectations in the third quarter, paired with our outlook on Q4, we are again able to raise the midpoint of our full year guide on both revenue and non-GAAP profit. We now expect to deliver revenue of $239 million to $240 million for a 5% decline year-over-year. This raises the bottom end of our prior range by $2 million while holding the upper end of the prior guide. And we're in a position to take up the non-GAAP profit guidance for the year. We now expect adjusted operating income of $57.5 million to $58.5 million, adjusted EBITDA of $68 million to $69 million for a full year margin of 28% to 29%. This is a $3 million increase to the midpoint of the guided range. Adjusted net income is expected to be between $34 million to $35 million and earnings per share are now expected to be $0.23 to $0.24 on a basis of 146.8 million weighted average shares outstanding, which incorporates the share repurchase activity through the third quarter. As we wrap up, I want to highlight that we're encouraged by our results through the first 9 months of the year and remain squarely focused on what matters most, improving customer retention, returning Definitive to growth and driving long-term shareholder value. And with that, I would like to open it up for questions.
Operator: [Operator Instructions] And our first question comes from Jared Haase from William Blair.
Jared Haase: Maybe for my first one, I wanted to double-click on the competitive takeaway that you mentioned with the med device company. I'm curious, is that typically more common that you're seeing those opportunities for competitive wins? Or are new logos these days kind of more white space opportunity? And then I guess related to that, when you do have a competitive win like in this situation, is there anything you can share in terms of what you typically see as sort of the biggest reasons or maybe the most common gap in the market that's leading a client to make that change to a different vendor?
Kevin Coop: This is Kevin. We're continuing to see strength in our new logo area as one of the areas that's responding the quickest to our efforts here. We've exceeded our internal expectations across all end markets. And I think that a big component of that is we are still very confident in the broad use case needs for our data. We are really leaning into the integrations component, which we believe is not only a key focus area for us, but that is also going to help alleviate some of the pressures that we saw on the upsell market. And at the end of the day, it's really how easy can you ingest, leverage and gain insights from the use of the data, does it integrate well and easily into the systems of insight and systems of record, and then ultimately, how accurate is the data, especially as we've rotated our focus on those use cases in areas that we believe are most responsive to the value that we bring in those types of either therapies or purpose-built solutions that we bring into market. So I'd say it's kind of a combination of the integrations component and the quality of the data.
Jared Haase: Okay. Great. That makes sense. And then for the follow-up, I wanted to ask on the new claims data that you're bringing online here in the near future. Can you just talk a little bit about, I guess, how strategically important do you think about claims data in terms of the broader product positioning and what you're hearing in terms of what customers need in the market? And I guess, specific to my question, I'm thinking about how much of an incremental lift could some of those new claims data sources have in the near-term growth rate?
Kevin Coop: Yes, it's a good question. I think it's twofold, though, Jared. There's -- the first element or rung is we had been very successful at selling claims data as an upsell, cross-sell into the market for a number of years along with our differentiated reference and affiliation data. And so with the disruption that occurred in the market, you just had a significant reduction in the amount of data that was available. And even though that was an industry-wide kind of phenomenon that we were impacted by as well, the first thing you have to do is you have to replace that and you have to be able to deliver on what was promised because your customers don't care why. They just know what they've actually contracted for. And so we're very pleased to be able to report that we have now reached that threshold where we are currently back to parity. But bringing on the additional data to go above historical levels is especially important if you come back to the notion around you need to have the data integrated in the most reliable and effective way. And then if you think about what our customers do with it, they efficiently map and match and append that data so that they can actually tokenize it with accounts to contacts to people. They're mastering the data internally with master files to differentiate the data to both first and third-party data as well as their internal maybe unique identifiers. They're creating complex data relationships and hierarchies that they need that ease of sharing of the data across systems of records and insights. And in that vein, the amount of data that you're providing -- first of all, we already know that they're contracting for that because they need it for the use cases that we're solving. But that notion around integration highly involved relationships with our customers with the data, that's the importance of having that view across those different relationships that include claims and the reference filled data. So we think it's very important. And I think that was proven through the success that we had for a number of years. And we are very confident that, that's still where the market is today. And we're very happy that we're kind of back in that, what we consider to be a very competitive position now with that remediation underway.
Operator: And our next question comes from Craig Hettenbach from Morgan Stanley.
Unknown Analyst: This is [ Jayjin ] on for Craig Hettenbach. For first question, I was wondering with greater certainty on MFN and tariff policies, have you observed any changes in how pharma clients are allocating budget or approaching spend?
Casey Heller: We haven't seen any changes. Again, I think as we've given color previously, our biopharma customers over the last year plus, I think, have seen just tighter budget constraints. And that has kind of shown up in some of the pressures across the life sciences space that we operate in. But no notable changes or tariff-specific impacts at this point in time.
Unknown Analyst: Great. And for my follow-up, it was very encouraging to see the total customer count holding steady and enterprise customers growing. Just wondering if you also saw or have any updates to any improvements in the downselling pressure that you guys have been experiencing as well? And if you could call out any -- worth highlighting what's resonating with these clients?
Casey Heller: Yes, absolutely. Thanks for noticing. Certainly, the stabilization of the total client count and the tick up in the enterprise customer counts were encouraging to us from second quarter into third quarter. That downsell pressure for us, again, remains pretty isolated into the life sciences space and touches exactly on kind of your initial question around what we're seeing within the biopharma. So no real notable kind of changes there. But as we talked about a bit last quarter, that kind of goes into and flows through the life sciences space in terms of what we're seeing on the other side of it in terms of the upsell and being able to increase footprints within the life sciences space, and that also continues to remain challenged. So last quarter, I did mention that our net dollar retention expectations for 2025 were that we would expect net dollar retention to modestly decline year-over-year compared to 2024. That still remains the case. But again, we are happy that the underlying improvement we're seeing in our renewal rates is going to drive our gross dollar retention to be up year-over-year. And again, that's consistent with what we had said 90 days ago.
Kevin Coop: And maybe what I would just add to that is I think it's reassuring that if you look at our diversified and life sciences end markets, which are the 2 largest that make up nearly 90% of our annual recurring revenue, they were also very positive to the renewal rates versus Q3 of last year. And so I think we're starting -- it's encouraging because we think that a lot of our focus in these very core areas is starting to show up and it gives us cautious optimism that even though Q3 is a lower volume renewal period, it's a positive sign that the focused operational changes and what we're doing is having a positive impact.
Operator: And our next question comes from Nishad Patwardhan from Goldman Sachs.
Nishad Patwardhan: This is Nishad. I'm on for [ Kash ]. I would like to just double-click on the agency part. You spoke about several agencies beginning to activate campaigns and you also spoke about one of your plans, the New England Hospital going beyond pilot activations. I would like to ask what are the driving factors for these end market customers to expand from testing to actual activation campaigns using Definitive data?
Kevin Coop: Yes. That's a great question. Thank you for that. So the progress that we're making around digital activations is a logical next step for our business as it leverages the strength of our data and allows customers to primarily develop more targeted effective marketing campaigns. It's augmenting their audience campaigns. So we are able to very effectively show the return on investment and the lift that they get from those augmented audiences, which is very encouraging. We tie our data directly to their customers' ad tech efforts. And by making the DH data an important part of their MarTech stack, it becomes a relatively simple connection to that always-on GTM partnership. We mentioned LiveRamp, which I think you're referring to there, which will give marketers not only if you're a direct customer of DH -- it allows customers through the LiveRamp platform to self-serve always-on data packages, so to speak, or audiences that they can activate directly to specific health care targets. So the agencies that we've added there continue to expand that, which we'll see as a very long-term channel that's going to build from a revenue perspective. In addition to that, we're also working with Bombora. And Bombora, which is a -- it's a curated marketplace, they call the curated ecosystem audiences. They just launched it. It's their new marketplace, of which they've got 4 initial inaugural partners. So Definitive along with Crunchbase, G2 and HDInsight will be able to, through this partnership, access our proprietary reference and affiliation data matched up with other activity signals to create that kind of first-to-market health care ecosystem for audiences. And that expands our reach even further into that B2B always-on digital channel. But the simple and probably the shortest answer -- that was a little bit more than you probably asked there -- is it just takes their current audiences -- because our data is so much more accurate and the veracity is higher, it allows them to provide even better targeting, which is very important if you're trying to leverage and maximize your advertising dollars to reach the right audiences. And so we've been able to now develop that relationship through these cases, which -- for example, the example customer, where it started off as a very small test, because it was so effective, they in essence -- they increased their commitment tenfold because they know that they're going to be able to get such a significant return on that dollar investment.
Nishad Patwardhan: Yes. Sounds good. Just a small follow-up on that. Do you have any visibility into which specific verticals are you more -- are moving faster towards production and activation from pilots when it comes to agencies?
Casey Heller: I don't think we're -- at this point, we're seeing much differentiation across kind of the verticals. I think that this is something that we're looking to make an impact in across each of our end markets. I think we've had a decent amount of success in the diversified space to date, but then there's a lot of opportunity within the life sciences space as well.
Operator: And our next question comes from Brian Peterson from Raymond James.
Johnathan McCary: This is Johnathan McCary on for Brian. So I wanted to double click on the net new motion you talked about, kind of some modest improvements or stabilization in NRR. It also sounded like you guys upticked on tone on the net new side. So I'm just curious like how did that perform versus your expectations? And then I'd be curious where you're seeing more strength as it relates to the partner or the agency ecosystem versus kind of your direct motion, or maybe it's across both. But would be curious, any delineation there?
Casey Heller: Yes, absolutely. So as we're kind of taking a look at the business here, Kevin mentioned our new logo performance actually exceeded our internal expectations within the quarter. So that remains encouraging. That's been a pretty solid motion for us here now for several quarters, and we're seeing that broad-based across each of the end markets. And we've been pleased with the improvement we've been making in the renewal rates. So it really is just kind of that element I touched on a little bit earlier around some of the –- the upsell and downsell pressures, frankly, within the life sciences space are kind of having the drag there overall in terms of what -- how everything kind of gets rolled up at the top. Touching quickly on the digital activation space. I think that where we're seeing some acceleration is in the direct space at the moment. I think the agencies, those relationships take time to kind of foster. So while we've got, I believe, 20 or so under contract today, they're not all fully activating yet. But it's the building of those relationships that will make our audiences kind of available to all the firms that will be tapping into them over time. And that we view as a really exciting kind of new revenue stream for us that we'll scale over time.
Johnathan McCary: Okay. Great. And then just one kind of follow-up model housekeeping here. In the past, when we talked about adding additional data sources, there's also been some kind of temporary pressure in gross margin. Would you expect that number -- just as we think about framing our model for next year, would you expect the gross margin to remain in the current ballpark? Or should we expect some kind of near-term pressure there from those new data sources?
Casey Heller: Yes. So there's a couple of dynamics within the data sources. So first, just from a year-over-year perspective -- certainly, we're not guiding on '26 at this point, but we have been clear in second quarter and then again now as we're talking about what we saw in third quarter. As we've been negotiating even existing data agreements, that have -- those have resulted in a couple of onetime credits. So in second quarter, we had about a $2 million credit. In third quarter, we had about $1.5 million. So those things would not be repeating. So that will provide some year-over-year margin pressure. But at the same time, as we've been kind of onboarding data sources -- I mentioned that there's another one that we took offline. So we're trying our best to balance this out. And we can talk more about margins and the profile come February, because I think that the revenue profile is going to play a role in that as well. And in my prepared remarks, I signaled that if you take a look at our current remaining performance obligations for -- coming out of third quarter adjusted for the data partnership that's giving a bit of lift right now, that points to a mid-single-digit decline. So we do expect top line pressure, which will obviously have an impact on what gross margins are going to do next year.
Operator: [Operator Instructions] And our next question comes from David Larsen from BTIG.
Jenny Shen: So it's great to -- this is Jenny Shen on for David Larsen. It's great to hear that retention rates are improving. Can you just speak more on the upsell versus downsell dynamic? So are customers still staying on, it's just that they're spending less, because it looks like the overall customer count still looks pretty solid. And then as a quick follow-up, really appreciated all the color around the new wins and contract expansions. Just any of your thoughts on the future growth algorithm, the balance between new customer adds and expanding within existing customers. Do you expect that to kind of be a 50-50 mix or weighted more heavily one towards other of driving future growth?
Casey Heller: I appreciate the question. So touching on kind of a couple of the points you laid out there. So first, maybe just doing a final double-click on the upsell versus downsell dynamics. I think that we've got a healthy motion overall within our diversified and provider spaces, and really where we've been seeing those upsell as well as downsell pressures is really associated within the life sciences space. So in some cases, we've got pressure year-over-year on an upsell standpoint, where there was greater expansion within existing accounts last year than there was this year within life sciences. And then on the downsell piece, again, it's those same customers that are under certain budget pressures or having their internal teams put under greater scrutiny that we're seeing the downsell components. But as you pointed out, our customer counts stayed relatively stable quarter-over-quarter, which is encouraging, because these are customers that we have long multiyear relationships with that want to stay with us, see the value and know –- and we know that once their budgets come back, that they'll be reengaging with us as well. So that to us is an encouraging element and an important element in terms of how we're managing these relationships. I'm trying to think what -- the last part of your question was, and then like kind of going forward the mix of new logo growth versus expansion within existing. The answer is both. I think it's too early to guide on '26 as far as a relative mix between the 2. But today, where we stand, we've got solid new logo generation. I would expect that to continue. And then again, the expansion within existing accounts, I think that is something that will come back over time as we are continuing our focus around our 4 key pillars here, because all of those things are tied to improving our renewal rates and creating those additional value-added opportunities for our customers. So I think that our growth engine in the future is certainly going to be reflecting both of those components.
Kevin Coop: Yes. And I would say, Jenny, that the confidence really comes down to 5 or 6 really key points. The first is we know we still have very differentiated and valuable data that improves our customers' business performance. We are investing more and we are rapidly bringing together through that unified UI/UX front-end purpose-built solutions that make it easier for them to get to that data. The changes that we made in our go-to-market and customer success teams are starting to really show that positive impact that we had hoped for and expected. And you can see that reflected in our enterprise count, which is up in Q3, and we expect to continue to see future benefits from that. And the benefits that we are seeing from the work that it makes -- it takes time from the personnel, process and people that we talked about last quarter around both go-to-market and success. And then finally, the integration strategy we know is going to have a significantly larger impact than anything if we have more customers engaged not only through our SaaS products on the front end, but also through a more integrated data science and integrated platforms through things like our connectors as well as through APIs and others. And then lastly, we're extending our existing AI investments into more of a product data and end user development as part of our 2026 road map. And we know that will continue to move the ball forward, too. So we've got a lot of things underway, but it's very focused. It coalesces around the 4 pillars that Casey is talking about. And that's where it kind of ties back to not only addressing some of the existing upsell, cross-sell challenges, but it's going to put more fuel on both new logo and expansion there as well. So we're very -- I feel very optimistic about that.
Jenny Shen: Congrats on the quarter.
Operator: And our next question comes from David Grossman from Stifel.
David Grossman: I think you've addressed the question -- most of the questions that I had. And I did jump on a little late, so I apologize if you may have hit this. But I guess I'm just trying to think through -- we're at this point in the year, right, where a large percentage of your book, I think, renews in the December and January time frame. And you've talked about some very positive improvements to the underlying fundamentals of the offering and your go-to-market strategy, among other dynamics in your business. Yet there's still some kind of cyclical headwinds that we're faced with. So I'm just trying to -- and perhaps this is an unfair question. Just somehow think about like what's the range of possibility as we think about what the renewals can look like over the next 3 months or so since that really defines what '26 is going to look like and you kind of have to live with that for another 12 months. So again, probably not a fair question, but just hoping you could provide some context for us to kind of think through that given all these moving pieces in your model right now.
Kevin Coop: Yes. It may be a difficult question, but it's also very insightful, and that is a very important one for sure. And we know that, especially December and January, those are significant cohorts of renewals for us, and we're very focused on that. We do know that in the macro and competitive environment out there -- although we haven't seen enough notable changes over the last quarter that would alter our view that overall the market seems to be stabilizing when compared with recent periods, but we still remain a little cautious there. You still have the current funding environment, interest rates, there's some regulatory uncertainty, which certainly impacts a little bit. And -- but we're still focused on what we control, which was increasing the quality of our data, augmenting our integration strategy, ensuring that our master data management efforts are in full swing. We've actually integrated now into our sales motion, the activation and measurement capabilities that creates that real closed-loop system. And we've got our sales and support teams now integrated in a way that we know that we're hopefully delighting our customers in a much better way than we were a year ago. And so all that being said, if you haven't been delighting them to the same degree that you are now, these things do take a while to get into the system. And I think your focus on Q4 and really January and December as the primary months is the correct one, and that's why we're so laser-focused on that. So it's kind of a -- I'm trying to address it as accurately as possible because we share the same focus. So on one hand, we are very confident that what we're doing is going to have that long-term meaningful growth -- return to growth that we are very, very focused on doing. And at the same time, we have to make sure that we maximize our current customer situation and what may or may not have been in motion when we sort of did the transition. And we feel good about that, too. But those 2 months are going to be very important for sure. And maybe, I don't know, Casey, how you would want to maybe quantify that or any add to that. But that's -- we're trying to focus on what we control, and there is that variable for sure.
Casey Heller: Of course. So as Kevin mentioned and as you well know, our December and January renewals make up over 30% of the renewals that we have over the course of the year. So super critical period for us and will certainly shape the trajectory of 2026. But as we talked about, cRPO is our best kind of forward-looking indicator. But it's not perfect and needs to be looked at in context of the other kind of commentary we give on the business. So in my prepared remarks, we shared that cRPO, excluding the lift from the data partnership, is declining mid-single digits. That's certainly a lot closer to our current trajectory and certainly the numbers that we're looking at for Q4. And I think that, that's the right lens to be looking at in terms of the near term as well. One dynamic to kind of point out is that given the heavy mix of renewals into December and January, if you look back over the last 2 years, we saw a step down in subscription revenues from Q4 to Q1. I think it's very reasonable to expect kind of a similar approach going from Q4 to Q1 as we head into 2026. So hopefully, that gives you kind of a little bit of color as kind of starting to kind of think about the shape of '26. And of course, we'll give more color when we touch base again in February.
David Grossman: No, no, that was actually really helpful. So can I ask just one follow-up to that, is that if cRPO normalized for the large partnership deal you did last year, comps out in the fourth quarter, is it -- like I don't know all the details of the math. But arithmetically, is it very difficult to get that turning positive in the beginning of next year in the first quarter if you have a really strong renewal kind of period or NRR, I should say, if you will, going into next year?
Casey Heller: Yes. I think that there's still just a lot of work for us to do there, and I think it's a little bit tricky to kind of point to, I think, the -- with the – the base of cRPO being roughly $165 million. We're saying it's declining mid-single digits. Excluding the data partnership, it kind of says that there's a chunk there, like call it, roughly $7 million or so to kind of make up for to get you back to a flattish or low single-digit kind of growth standpoint there. So we're certainly focused on executing to the best of our abilities here. We've got a lot of actions underway by the team to really maximize that renewal period. But our expectation exiting 2025 is that net dollar retention will be down year-over-year, and that's going to have an impact.
Operator: And our next question comes from George Hill from Deutsche Bank.
Unknown Analyst: This is Liz on for George. I appreciate the colors on the sort of the preliminary thoughts for next year in terms of renewals and the contract cycles. As we come in to critical times in December and January, how should we think about like the cadence? Can you talk -- speak to the cadence a bit more in terms of Q4 and Q1, where we're typically having, I guess, more of a sales season? And are you anticipating any actions in mitigating the churn? And how should we think about the impact on the customer account? And are you thinking -- I guess on the pricing perspective, are you thinking any actions on the pricing in the next few quarters?
Casey Heller: I think there was quite a bit to unpack there. So let us try and do our best on this one. I think that kind of the normal sales seasonality for us, there shouldn't be any kind of change. Again, there's a lot tied toward these renewal periods. So December and January are super important for us. And that's where we remain really focused on having an impact. And second quarter and third quarter were encouraging. We made a lot of progress on renewals there. Those are certainly smaller renewal periods, but we're hopeful. We've got the team really focused around delivering the best possible outcome for Q4. But there certainly the range of outcomes as far as what that means for 2026 at this point in time. Related to pricing, I don't think there's any like specific pricing action. I think that in general, we do have modest step-ups and just normal pricing increases built into our agreements as well as built into any of our multiyear agreements as well. So that's kind of normal course in business for us. There's nothing really, I think, unique to touch on from that standpoint.
Unknown Analyst: And then I guess a follow-up on where do you think about the market share growth from here? And are you thinking right now as steady or expanding the market share over the next year?
Casey Heller: Yes. For us, I think -- we obviously have guided to a revenue decline for 2025, and the early signals for '26 as well also point to some top line pressure. So we're much more focused on taking the right actions needed to return us to revenue growth. And then we'll take a look at what that means in terms of taking share against the overall market once we kind of hit that point. But for us, this is really about kind of the building blocks and making sure we're executing against the fundamentals and the foundations of our business and our 4 strategic pillars really well because those are the things that are going to improve our renewal base and really get us back to an eventual return to revenue growth.
Operator: At this time, we have no further questions. This now concludes today's conference call. We would like to thank everyone for attending. You may now disconnect.